Operator: Good morning, ladies and gentlemen. Welcome to the Dream Office REIT Second Quarter 2025 Conference Call for Friday, August 8, 2025. During this call, management of Dream Office REIT may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Office REIT's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Office REIT's filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Office REIT's website at www.dreamofficereit.ca. [Operator Instructions] Your host for today will be Mr. Michael Cooper, Chair and CEO of Dream Office REIT. Mr. Cooper, please go ahead.
Michael J. Cooper: Thank you, operator, and good morning to everybody. Today, we're doing our second quarter conference call for Dream Office. I'm going to make a few comments and then turn it over to Gord Wadley, the Chief Operating Officer, and then turn it over to Jay Jiang for the financial update, and then we'd be happy to answer questions. I would say that what we're seeing now is a lot more companies calling people back to work and a lot better sentiment about office than there has been in years. And we know that 4 of the 5 major banks in Canada, they're looking for between an extra 200,000 to 500,000 square feet each in order to house the people are calling back to work. And we're seeing that the best buildings are quite full. We're looking forward to more and more tenants doing the same thing as the banks. And we're seeing interest. We've had a lot of progress, but it does feel as if finally, we're starting to see a lot more commitment to having employees in offices and companies expanding. So we hope that, that will turn into occupancy numbers over the next 6 to 12 months that are meaningful. And on September 6, 2023, we presented a model at our Investor's Day, where we showed that for 2024, 2025 and 2026, we modeled similar rents, occupancy and leasing costs as we had at that time. And then we started to improve over 2027 and 2028, where we got to maybe halfway in between the occupancy we had at the peak before COVID and the low during COVID and since and same thing with costs of leasing. And the company looks pretty good as we start to lease back. So it feels as if we actually may be ahead of what we proposed in the fall of 2023, but we're looking to have more concrete evidence rather than just anecdotes. The anecdotes are meaningful. I'd also say that we're seeing some anecdotes of new buyers of office showing up, high-net-worth individuals, some institutions, it's still very early. But I think there's lots of signs that the future looks better than the last 24 to 36 months. So that's quite encouraging. Gord, do you want to address this?
Gordon Wadley: I will. Thanks very much, Michael. Well, good morning, everybody. It's real nice to get a chance to connect with everybody today and share some of the work our team has been doing year-to-date. Also look forward to sharing some insights and key milestones regarding our asset strategies, leasing performance and just generalized property operations. I'd say, to Michael's point, none of us in the industry are immune to the headlines and hot takes we kind of see in the media almost every day. Traditionally, over the last few years, nothing has been more polarizing than the impact of value, slower-than-anticipated return and negative sentiment around office space. However, I just wanted to reiterate, I feel like this narrative has changed dramatically over the last few quarters with new government mandates, large bank requirements and large cap companies all over Canada, calling their staff back and publicly disclosing their return-to-work plans. There's good reason to finally be optimistic in our sector. Our numbers and deal velocity support this sentiment, and Jay and I are pleased to share these key metrics with you today. I'm really pleased and quite proud with how the whole team has been performing. To-date, we've leased about 507,000 square feet, which is well on track to exceed our best full year of gross leasing, which was in 2023, we did 695,000 feet. Another important metric is the sheer deal velocity year-to-date, where we're already up to 82 transactions, which puts us on pace to far surpass our best volume year, which was 2024, where we did 104 deals. There's another approximate 328,000 square feet of deals that the team is in various stages of negotiations on, and we still have almost 5 months to go. On a gross leasing perspective, we've been outpacing all key metrics in every category going back almost 5 years. Our reputation and ability to manage, coupled with our well-located assets, has helped us secure some of the best covenant tenants for arguably some of the biggest deals done this year in a very competitive submarket. We're pleased to announce that we've been able to secure HDI Grilling for a large blend and extend, expanded DBRS Morningstar, who happens to be our largest client at Adelaide Place, did a net new lease for over 40,000 square feet with [ Streamland ] at 30 Adelaide and a number of large blend and extends throughout the portfolio, including one with IFDS at 30 Adelaide. All this coupled with improved deal traction on our Bay Street assets, and I'm also happy to confirm that we completed 2 net new -- I wanted to kind of reiterate that 2 net new full floor deals at Adelaide Place with [ Impark ] and the Insurance Institute of Canada. And we also leased vacant floors for about 45,000 square feet at 74 Victoria. I feel like this is a really good segue to highlight 2 assets where we've made some pretty strong progress. The first being 74 Victoria. As a quick reminder, we had PSP inform us just over a year ago that they were leaving the building in full, giving us approximately 200,000 square feet of vacancy. Since then, we secured 70,000 square feet direct with another department at PSPC, completed another 44,000 square feet and have an active prospect in negotiations for another 45,000 square feet. That would take us to over 160,000 square feet secured on the approximate 220,000 square feet of vacancy. We're actively marketing our common area upgrades to lobbies and bathrooms. They've been really well received, and we've seen a large uptick in tours for the asset. It puts us in a much better position than originally anticipated. The biggest improvement I want to talk about today comes in our most valuable and highest grossing asset from an NOI perspective, Adelaide Place. We will see our NOI go from $15.8 million in 2024 to $17.8 million by year-end in 2025. For greater context, this time a year ago, we were looking to renew our financing on the property. It was sitting at about 80% occupancy. The whole team worked really hard formulating the strategy. We executed on our asset plan, brought in some incredible restaurants, we filled all the retail and proceeded with our model suite program. The results have been astounding. We've leased almost 220,000 square feet in the complex in just under 18 months, effectively raising our committed occupancy by almost 15% in a brief period. We're really appreciative and would like to thank our lending partners, LBBW and TD. They saw the vision, believed in our plan for the asset, worked very closely with us. And now as a collective team, we've delivered with very high committed occupancy at 95% approximately and top of market rents for that submarket, all in the high-30s. It's been a major success for the REIT, and we're grateful to our partners. The last 5 years, the Canadian office market can best be described as disjointed. Just as some context, while some performance metrics like vacancy rates or absorption may show improvement or stability, other indicators such as new vacant space on the market, NERs and income often fluctuate due to costs, rising interest rates and softening cap rates. This combination has created some sector challenges we hadn't seen since the financial crisis. I do want to say that I honestly feel like we're past this, and we're starting to hit an inflection point. We've seen this trend shift the better part of the last 3 quarters. NERs have steadily been improving on smaller midsized deals. I would say larger deals still are ultra-competitive, and that's what drives down NERs generally for the whole market. But once all those large pockets are off the competitive inventory, couple that with no new supply, NERs are going to inevitably tighten again. But as a team, we're seeing construction prices and procurement costs level out, and this gives us optimism that we're through the NER trough cycle. It's well behind us. We still feel very strongly that we'll hit our current and committed occupancy guidance by year-end, as Michael mentioned, and NOI will continue to improve in 2026 and beyond. It's important to note, in-place occupancy was down marginally by about 80 basis points from 80% to 79.2%, but this was due only to the fact that we had to proactively take back space from existing obligations short term to do construction, fixturing periods and make way for much longer-term commitments that actually backfilled the vacancy. As such, it's important to note that while the committed occupancy is down, while the construction is being completed, our future committed occupancy actually improved. Quarter-over-quarter, our committed occupancy improved 110 basis points from 84.2% to 85.3%. One key component that helps drive our occupancy is retail. I'm proud to say we've leased every single ground floor retail unit in our Bay Street Collection and all of the retail we have at Adelaide Place. Milos and Daphne have been performing well as expected, and they've been a real catalyst to help drive leasing tours. Other great restaurants like Allo, Sushi Yugen and Chop at Adelaide Place have also been great amenities and helped the renewed success of our most valuable complex. We just welcomed Florin Trattoria at 80 Richmond and the feedback has been tremendous. And we have a brand-new Starbucks on our last unit on Bay Street, which helps fuel our clients and drives the experience. All of these great brands are key components in bringing an elevated experience of boutique luxury to the core, positioning us well for tenants' flight to quality and really helping us drive value in these curated offerings. They honestly appeal to Canada's top covenants and most discerning tenants who covet quality, much more so than face rate. Our downtown committed occupancy continues to be very resilient. Our pipeline remains strong, which will continue to support healthy cash flows at our buildings. Covenant-wise, we have large commitments with the federal, provincial and municipal governments as well as [ Crown ] cores. Coupled with our premium locations, asset quality and leasing prospects, I feel really good about our portfolio. Despite some of the macro challenges in the sector over the last few years, I couldn't be more pleased with how the whole team has navigated through some of these evolving challenges in the industry. Their efforts and dedication to not only our company, but to our clients is what I'm most proud of. At the end of the day, it's this combination of having irreplaceable assets, coupled with the quality, high character team of people we have operating and leasing those buildings that candidly gives me the greatest confidence closing out 2025. Thanks, everybody. I'll turn it over to my good friend, Jay.
Jay Jiang: Thank you, Gord. Good morning. I'll be giving an overview of our financial results and then provide an update on how we're forecasting our business for the second half of 2025. We reported diluted funds from operations of $0.62 per unit, which is in line with our internal expectations. Relative to last quarter, FFO was down approximately $0.06 per unit, which consists of a favorable $0.09 from lower interest expense, higher comparable properties net operating income and lower bad debt expense. This was offset by a unfavorable $0.15 resulting from a reduction in income from the sale of 438 University, our vendor take-back mortgage on a property in Calgary, Dream Industrial REIT units and other items, including nonrecurring G&A and lower lease termination income. To provide a bit more context, on a year-over-year basis, the weighted average interest rate on our total debt balance increased by approximately 26 basis points as we refinance our mortgages in a higher interest rate environment. On an annualized basis, this means we would need to pay about $3.5 million or almost $0.20 per unit in higher interest expense. This year, we sold 438 University, our vendor take-back mortgage in Calgary and 5.9 million units of DIR for aggregate proceeds of $182.5 million. Most of those proceeds were used to repay mortgages and pay down our corporate revolver and the transactions were done in a way to help facilitate a tax- efficient outcome for our unitholders. As a result of reducing our debt by approximately $170 million in the second quarter, instead of realizing a decline of $0.03 per unit on higher interest rates, we achieved $0.03 of savings relative to Q1. The trade-off of this quarter is $0.11 of in-place FFO from disposition of assets. We are able to move some tenants from 438 University to another one of our buildings, so $0.05 to $0.06 of annualized FFO will be replenished starting December 2025. So we expect to be relatively neutral on FFO on a stabilized basis, but then have lower debt and more liquidity. Our second quarter NAV per unit was $54.56, down $2.84 or approximately 5% from Q1. We recognized a $25 million loss on the sale of 4 million units of EIR during the quarter as well as $32 million of fair value adjustment on our income property portfolio. For additional context, in downtown Toronto, cap rates increased by 20 basis points from 5.69% to 5.89%, but that movement was offset by increased market rents across our assets. Quarter-over-quarter, our debt to gross book value increased 30 basis points to 51.8%, as a result of the fair value adjustments. However, our debt-to-EBITDA remained relatively flat at 11.5x. Our focus over the next 12 months is to work on improving both the numerator and the denominator in that equation. We have and will continue to look for opportunities to sell assets at a fair price to the REIT to reduce leverage. At the same time, once the in-place occupancy and NOI improves, we should see meaningful improvements in EBITDA. Our goal is to be around 11x in 2026 and then improve from there. As noted in our press release, we are pleased to have successfully addressed $741 million of our 2025 debt expiries, which represented 53% of the REIT's entire debt stack. Next year, we have mortgages on 3 buildings and 3 development sites totaling $165.5 million. For context, the weighted average loan-to-value of the mortgages expiring is approximately 36% as a percentage of the most recent appraisals. For our income properties, the debt service coverage ratio is about 2.5x. For our development sites, the current debt for density approved is under $30 per square foot. Therefore, we are confident in our ability to refinance all of our maturities next year. Earlier this year, we announced a redevelopment of our office building in Calgary, 606 4th Street into a new apartment rental. Since then, we have achieved several significant milestones, including securing a loan for $64 million for a term of 10 years at a rate of 10- year GOC plus 40 basis points. We have also signed a funding agreement with the city of Calgary for a grant of up to $11 million upon completion on the project. We are in advanced negotiations with a joint venture capital partner to acquire 50% interest and hope to have the agreements finalized in the third quarter. We have already relocated 9,000 square feet of tenants into 4447 next door as part of the project so we can help facilitate our tenants into a new space close by and also improve the occupancy in the adjacent building. We expect construction to commence in the fourth quarter, and it will take about 2 years to complete the redevelopment. Once complete, this will transform an older office building that will have nominal NOI into a new residential rental building that is well located in downtown Calgary that can produce $3.5 million of stabilized NOI. We think this project checks a lot of boxes for us in terms of improving the quality and quantity of cash flows, value and liquidity for the REIT. Lastly, we want to update our annual guidance based on the year-to-date actuals and expected trends for the second half of 2025. Gord has already provided detailed commentary on our committed and in-place occupancy forecast. We are trending positively to improve NOI in 2026 and beyond, but due to having to facilitate some of the larger new leases, we had to offer free rent and take space back early from other tenants. As a result of the trade-off, we expect our comparative property NOI to remain relatively flat to slightly positive for 2025 and FFO per unit to be between $2.40 to $2.45 per unit. In our forecast, we are assuming no investment transactions, and we expect to retain all of our $7.6 million of remaining investments in the DIR units. Our portfolio is in good shape to continue to improve committed occupancy as we have substantially completed our renovation program to greatly enhance the look and feel of our buildings over the past 5 years. Our capital allocation priority will remain to fund leases where we get an immediate return in income and value. Overall, we think our portfolio and balance sheet will continue to improve, and Dream Office is well positioned to benefit as office utilization continues to increase in downtown Toronto. Thank you. And now I'll turn the call back to Michael for Q&A.
Michael J. Cooper: Thank you, Gord. Thank you, Jay. We'd be happy to answer any questions that people may have today.
Operator: [Operator Instructions] The first question comes from Mark Rothschild with Canaccord Genuity.
Mark Rothschild: It's good to see this amount of space for sublease declining materially. Based on what you've seen historically, you obviously have a lot of experience and the trends you're seeing now, how long should this take or what can we look for, for it to lead to actual material drops in the market vacancy?
Michael J. Cooper: Wow, I wish I could answer that. A couple of things. Firstly, I think what we're seeing is there's a lot of things falling in place for business to make decisions that would incorporate using more office space. So that's really good. there's so much uncertainty around Canada's economy, trade with the U.S., the overall profitability of companies. We're not really sure what companies are going to do about hiring and spending more money, so the macro stuff is good for office. We're still waiting to see how companies behave. I said in my initial comments, I'm hoping that within the next 6 to 12 months, we start to see not like anecdotes or anything like that, but actual results where net effective rents come up a bit and occupancy comes up a bit. So I guess we're saying that rather than repeating like we and others in the industry have said for 5 years, that tours have increased. We're saying we think that leasing is increasing now. So I'd say 6 to 12 months, we should see some signs, but there's still a lot of uncertainty, and we don't know what decisions business are going to make. I think that's like the best response I have. I'm just wondering if that's satisfactory to you.
Mark Rothschild: It's satisfactory because it's the best response that you were able to come up with. Maybe just one more. There's a lot of talk about back-to-office companies moving employees back to the office, but a lot of these companies had years to adjust this. It's not like it started last year. To what extent does that actually move the market based on what you're seeing or is a lot of it news?
Michael J. Cooper: No, it's -- I mean, I think you're right that there's been a lot of discussions about it and a lot of proclamations. I mean, I'm not joking, but I kind of am like in September, everybody is going to be back for a certain amount of time and nothing happened, but it's changed. And I think that it hasn't just changed because companies have more guts. I think it's changed because companies are saying, we need to get more productivity out of our employees in a very difficult time. And if people aren't prepared to do their best work, we don't need them working for us. So I think that's a fundamentally different posture. And if you go back to 2022, all companies agreed that without more people, they wouldn't be able to grow. And there was just a huge almost like gathering of people within companies. And I think that now what's happening is you got to get productivity. People want their people to be in the office if they don't want to work in the office, they can leave. And I think they'll probably have increasingly difficult times getting another job where they can work remotely. I think the numbers that came out this morning on jobs, I think it's saying it's 6.9% unemployment, huge unemployment among young people, and it was negative employment in the last month or whatever. So I think the intention of the employers is come back to work or leave the company. So I think that's pretty different than saying we're scared of people leaving, so we'd like you to come back to work, but we don't really mean it.
Operator: The next question comes from Sairam Srinivas with Cormark Securities.
Sairam Srinivas: Just looking at the leasing spreads over the last 8 quarters, they look really healthy with all the leasing activity that's been happening. Is it safe to say that over the next 12 to 24 months, when you see that committed occupancy meet that in-place occupancy number, we should start seeing those leasing spreads show up in this SPNOI?
Gordon Wadley: Yes. You're right. Like we are seeing much better spreads and improvements on rents, kind of with Mark's question before, like one material piece of that is net effective rents quarter-over-quarter were up almost $0.20. As the big pockets of space roll off and our occupancy gets tighter, it's the big pockets of vacancy that cost the most money to do, and those deals are the most competitive. In the smaller deals, 5,000 square feet and less, we're seeing really good trend in terms of NER and market base rates. Our net base rates were all up by about 17% across the portfolio this past quarter. So we feel really good about the trend. As committed occupancy comes up, the rent and the NOI is going to come up.
Jay Jiang: Yes. And Sai, this is Jay. So if you follow in our disclosures, we actually try to provide some commentary on the timing of the income and the rents over the next 12 to 18 months or so as the committed occupancies take effect.
Sairam Srinivas: That's great, guys. Maybe going back to your comments on the use of space, especially in the next 24 months. There's a lot being said about inventory coming up, supply coming up in the downtown area. But is it also the fact that over the last 5 years, there's also some of the inventory that's actually gone out -- and when people do return to work and when we do see utilization rates increase across downtown, the nature of space needed or the amount of space needed for a 5-day work schedule would actually be short of what's currently out there?
Michael J. Cooper: I think there's a couple of things. In Calgary, there's a lot of conversions from office to residential and those buildings are coming out of the capital -- the amount of office in the city. In Toronto, what we're seeing more of is George Brown College buying the Corus building. We sold 720 Bay to a health sciences group. The Ontario government has been buying buildings. Hospital has been buying buildings. So what you're seeing is they're being used -- once these buildings get bought, they are not going to be open for tenants to rent them again and it's actually millions of square feet. It's not going from office to residential, it's going from office to institutional. So I think that's a real trend, and I think we're going to continue to see that. There is some potential office to residential conversion, and that could build up but I mean, it is not meaningless. I do think that we might see new construction maybe for some of the banks a little bit very slow. I mean the first building would be ready for 5 years. What we're looking at is if the banks are at the top end, we're doing a lot of work with governments and they're leasing from 74 Victoria as an example, Gordon and his team has done a great job going from what we thought would be an office building with just a good life in it to, I think is it 80% leased.
Gordon Wadley: It's about 60% updating if we get the other deal.
Michael J. Cooper: Okay. So it's 60% and that's really economic space that's available for people who want less expensive space that's decent. So most of our buildings are kind of chic, special buildings that appeal to smaller tenants, and we're looking forward to seeing them starting to commit to more space. And I think it's going to be like a waterfall from the banks, governments and work its way down to everybody. And as that process happens, we expect to see an improvement in the occupancy of our portfolio, the NOI of our portfolio and a reduction in leasing cost per deal.
Operator: The next question comes from Tal Woolley with CIBC Capital Markets.
Tal Woolley: Just on 606-4th, do you have an estimated timing for when we might hear a JV announcement?
Jay Jiang: Yes, Tal. We'll be able to probably give an update in the third quarter, so in November.
Tal Woolley: Okay. Great. And then any known nonrenewals that you're aware of that aren't in the committed numbers?
Gordon Wadley: We've addressed all our biggest renewals over the course of the 18 months. There's nothing -- no major surprises over 10,000 square feet that we haven't disclosed.
Tal Woolley: Okay. Perfect. And then I guess maybe just to turn to the topic of the day, too. I'm curious like in the industry, there's a lot of talk about artificial intelligence and the impact on entry-level employment. Have you seen the industry giving much thought to what that might mean for space requirements going forward?
Gordon Wadley: I mean we incorporate some digital improvements, a little bit of AI more in the space planning and design area. We've seen a lot of advancements there. And then also, too, on the marketing side, AI has been an interesting partner in terms of uncovering and soliciting the market for leads. But on the bricks-and-mortar transaction component, we haven't seen any major changes.
Michael J. Cooper: Yes. We're trying to figure out -- so AI is having huge penetration in lots of different industries. We're not seeing significant changes in real estate with AI. Some of it is -- in real estate, we have really bad historical data, and that makes it difficult. We're hoping that -- to be blunt, I don't see why accounting can't be way more AI-driven, same with legal. So Dream is not going to develop those kinds of things, but we could benefit from them. I think for our tenants, they're using it. I think what we're seeing a lot, not necessarily from our tenants, but more globally is, while AI may be replacing some people in a lot of cases, just changing the kind of work and increasing productivity. But it's really frustrating for me that we can't benefit from it more because we really are keen to, but we literally are just dealing with people who talk really about great ideas, but there's nothing behind them that's functional yet. And that includes the big accounting firms, consultants and some of the firms that run large learning models and sell them and we're hoping it changes. But it just seems like real estate is behind just about everything on how it's contributing to changing our businesses. I think you were asking more about the tenants, but I'm just volunteering my comments on the real estate industry.
Tal Woolley: Yes. I think where I was trying to go is, yes, what -- yes, I mean, most of the stuff I've been reading has really been talking about entry-level kind of office jobs really being where this could have a big impact early. And I'm wondering what the conversations you're having either with tenants or other brokers or landlords about does that have an impact on space demand?
Michael J. Cooper: I don't think we've seen that yet. I mean I heard something from New York that I thought was quite a thoughtful piece it was saying that the best and the brightest that are going to the largest investment banks are working very hard to stay ahead of AI's development so they can keep their jobs -- they're very high-paying jobs. I thought that was an interesting visual that AI is sort of chomping at them, and they've got to be more productive and learn how to work with AI more to be able to be very valuable to their companies. So we're seeing a lot of things like that where it's working with IA, not AI, not necessarily being replaced by it. But I think what we're seeing is like it's hard to find a person if you have an issue with Facebook. I think we're seeing a lot of companies with their call centers going much more online with bots and doing a better job and everybody involved with it is happier. So I can see -- we're seeing that there now. We don't do that kind of business in our tenants, but it's sort of along the edges that's replacing people, but we're thinking that AI is becoming integrated into many, many businesses on how they do their work, if that makes sense.
Tal Woolley: Yes. And then just to go back to the work-from-home theme. It feels like a lot of times in situations like this, we're sort of debating like when do we sort of get back to pre-COVID times. And I guess like the question I wanted to ask was just do you think like there has been some demand destruction for office space as a result of work from home like over the long haul? Like -- or do you really feel like the advent of work from home on a wide scale really hasn't changed the demand curve long term?
Michael J. Cooper: Well, in my entire career, the use of office space per person has gone from like 350 square feet to 140. That's over 30 years. So over that whole time, what we had was we needed to have bigger growth in employment than the shrinking of space per person. And I think there'll be an element of that with work-from-home. Just another gratuitous comment, I think that after 5 years of, for the most part, stressful times, it's become pretty obvious that people need more flexibility to take care of things. And so, I think we're seeing more flexibility, but it might be 4 days in the office and some sort of days where you can get work done the way you want. I don't remember anybody in our company's history not being able to get to one of their kids' performances or school things ever before any of this stuff. So I think it's maybe sort of institutionalizing what a lot of people already did. But I think having more flexibility is becoming essential for people's well-being, but you got to be productive. So I think that's sort of a different approach to work, but it's going to be mostly in the office. Prior to COVID, some people work-from-home. A lot of times, it was on a consulting basis and stuff like that. That probably has increased. So that might be a little bit of -- just like when office space per person shrinks, there may be a bit of that. I suspect that going forward, we're way past the peak of the number of people that will be working from home. I do not think that's a growing number -- a growing percentage -- so I'm not sure how much of a headwind it is, but I think there has been a change. So if you're saying, has the demand curve moved, it may have moved down a little bit, but the real question for us isn't if it's moved down. It's actually the steepness of demand, how much more demand will there be? And if it's down 2% from where it otherwise would have been, that's not as significant as how quickly it's growing and how much more demand there is for space.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Cooper for any closing remarks. Please go ahead.
Michael J. Cooper: Thank you, operator. Thank you for providing your service today. Thank you to the listeners, whether it's right now or on replay. If there's any follow-ups, please feel free to contact Gord, Jay or myself. Thank you very much. We look forward to our next quarter results. And if people are more interested in our buildings and want to tour or want to have more questions, just contact us. Thank you very much, and enjoy the rest of the summer.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.